Operator: Good morning, and welcome to KP Tissue's Third Quarter 2025 Results Conference Call. Today's call is being recorded for replay. [Operator Instructions] I will now turn the call over to Doris Grbic, Director of Investor Relations. You may begin your conference.
Doris Grbic: Thank you, operator. Good morning, everyone, and thank you for joining us to review Kruger Products Third Quarter 2025 Financial Results. With me this morning is Dino Bianco, the CEO of KP Tissue and Kruger Products; and Michael Keays, the CFO of KP Tissue and Kruger Products. Today's discussion will include certain forward-looking statements. Actual results could differ materially from these forward-looking statements due to known and unknown risks and uncertainties. A list of risk factors can be found in our public filings. In addition, today's discussion will include certain non-GAAP financial measures. The reconciliation of these non-GAAP financial measures to the most comparable GAAP measures can be found in our MD&A. The press release reporting our Q3 2025 results was published this morning and will be available on our website at kptissueinc.com. The financial statements and MD&A will also be posted on our website and on SEDAR+. The investor presentation to accompany today's discussion can be found in the Investor Relations section of our website. I will now turn the call over to our CEO, Dino Bianco. Dino?
Dino Bianco: Thank you, Doris. Good morning, everyone, and thank you for joining us for our third quarter earnings call for fiscal 2025. We accelerated profitable growth in the third quarter of 2025, highlighted by strong adjusted EBITDA of $85.7 million on revenue of $561.1 million. We are particularly pleased with consumer share gains in the paper towel and facial tissue categories, which grew over a 52-week period despite a highly competitive market. In terms of our Away-From-Home division or Kruger Pro, as we call it now, sales and profitability increased by both year-over-year and sequentially, bolstered by consumer brands like Scotties and Chashmere selling well in the commercial market. Looking ahead, we are on our way to delivering a third consecutive year of strong financial results. In addition, we have significantly deleveraged our balance sheet to prepare for the next phase of investment. Now let's take a look at our quarterly numbers on Slide 6. Revenue growth of nearly 8% in the third quarter of 2025 was driven by higher sales volume in our consumer business, favorable selling prices across both Consumer and AFH segments and a positive foreign exchange impact. Revenue in Canada rose 6.8% in the third quarter, while U.S. sales grew 8.8% year-over-year. In terms of profitability, adjusted EBITDA increased 30.4% year-over-year to reach $85.7 million. The significant improvement in adjusted EBITDA can be attributed to higher sales volume, favorable selling prices, lower pulp prices and reduced freight costs. These factors were partially offset by a number of items, including higher manufacturing overhead costs which Michael will provide more details on in his review. On Slide 7, average pulp prices in Canadian dollars decreased single digits in the third quarter of 2025 from the previous quarter, while year-over-year average prices were both and NBSK and BEK declined 2.6% and 18.4%, respectively. Heading into the upcoming year, industry analysts do expect pulp prices to trend upwards. Let's move on to our operations on Slide 8. To increase tissue capacity and accelerate the growth of our business, we are proud to announce the construction of a new state-of-the-art tissue plant in the Western United States to better serve our fast-growing U.S. business with ultra-premium tissue products. The new facility equipped with the most modern TAD paper machine and related converting lines will have annual production capacity of approximately 75,000 metric tons and the startup is scheduled for 2028. Location, project scope and financing details will be announced at a later date. The new facility, along with our Memphis plant and 9 existing Canadian plants gives us a strong network to service our growing North American business. Looking at our current operations. Overall, our network production rates exceeded our targets for the third quarter. In Memphis, we are seeing positive benefits from our renewed asset strategy focused on producing premium products. Converting manufacturing results in Memphis improved sequentially, while our new multipurpose converting line is on track for startup in the second quarter of 2026. We expect to deliver an improved cost structure in 2026 following the closure of our old legacy equipment last quarter. Finally, our Sherbrooke Expansion assets continued to perform above expectations. Turning to brand support on Slide 9. We sustained our Made in Canada positioning in Q3 2025, supported by widespread in-store promotions across our portfolio. During the third quarter, we also continued equity building campaigns behind Chashmere, Purex, SpongeTowels, Scotties and Bonterra to strengthen our brand presence in their respective categories. In addition, we pursued targeted expansion and support behind our premium product portfolio, including Scotties Ultra Soft, Chashmere and Purex Ultra and UltraLuxe, as well as SpongeTowels pro and premium. We also launched our 22nd annual Chashmere collection in support of breast cancer awareness, prevention and treatment programs inspired by this year's theme of Tapestry of the North, 16 of the top Canadian designers showcased garments made entirely of Chashmere, Canada's leading bathroom tissue at a galley evening and fundraiser in Toronto on September 16. The annual campaign has raised over $5 million for the breast cancer cost since 2004 through the Canadian Cancer Society and the Quebec Breast Cancer Foundation. Turning to Slide 10. The data presented is taken from Nielsen and shows Kruger Products branded market share in Canada over a 52-week period ending September 6, 2025. The figures reflect strong growth for Kruger products in the paper towel category compared to the same period last year as SpongeTowels increased share on the strength of heightened brand support. In terms of facial tissue, our market-leading Scotties brand also enjoyed solid share gains driven by innovations in the premium product segment. For bathroom tissue, our share declined slightly over the same period due to higher pricing taken in our Canadian Consumer segment in the fourth quarter of last year. Looking at our Away-From-Home segment, on Slide 11, sales volume increased both year-over-year and sequentially in the third quarter of 2025. Similarly, revenue and profitability improved in the third quarter highlighted by a robust 11.2% adjusted EBITDA margin. As mentioned earlier, these strong financial results were supported by consumer brands like Scotties and Chashmere selling well in the commercial market, along with growing Made in Canada segment among distribution partners and end users. The expanded in-sourcing of our own paper also contributed to enhanced profitability and converting efficiency. And finally, we introduced Titan Wipers and Cloths to our AFH portfolio in the third quarter to meet the evolving needs of customers seeking high performance and reliability for the most demanding cleaning jobs. With a bold, new name and look, Titan reflects Kruger Pro's vision of being a trusted partner to our customers. Equally important, this new product line enables Kruger Pro to increase its share in the rapidly growing commercial Wiper and Cloth market. With that, I will now turn the call over to Michael.
Michael Keays: Thank you, Dino, and good morning, everyone. Please turn to Slide 12 for a summary of our financial performance for the third quarter of 2025. As Dino mentioned, we generated an adjusted EBITDA of $85.7 million on sales of $561.1 million in the quarter, representing a strong year-over-year EBITDA growth of over 30%. Net income totaled $14.6 million in the third quarter of 2025 compared to $18 million in the third quarter of 2024. The year-over-year decrease is due to an FX loss variation of $12.2 million, greater income tax expense of $4.4 million higher depreciation of $4.1 million as well as an increased interest and other finance costs of $3.5 million. These items were all partially offset by the higher adjusted EBITDA of $20 million. In our quarterly segmented view on Slide 13, revenue from our consumer business grew 9.1% year-over-year to $468.3 million. This increase comes from higher sales volume, both in Canada and the U.S., favorable selling prices and a positive FX impact on U.S. dollar sales. In our Away-From-Home segment, revenue improved 1% year-over-year to $92.8 million in the third quarter. This increase was mainly due to slightly higher sales volume in Canada and a favorable FX impact. The consumer adjusted EBITDA in the third quarter totaled $78.2 million compared to $62.4 million in Q3 2024 with a margin of 16.7%, representing an improvement of 2 points over the same period last year. On a sequential basis, consumer adjusted EBITDA increased by $9 million from Q2 2025. For our Away-From-Home business, adjusted EBITDA amounted to $10.4 million in the third quarter compared to $6.6 million in Q3 2024, with a margin increasing by 4 points year-over-year to 11.2%. On a sequential basis, AFH adjusted EBITDA grew $1.4 million from Q2 2025 the year-over-year and sequential increase are partially driven by the expected benefit of in-sourcing our paper supply post Sherbrooke paper machine start-up. Moving on to Slide 14. We show a consolidated revenue for Q3 2025, which improved 7.7% year-over-year to $561.1 million. The increase was mainly driven by higher consumer sales volume, favorable selling prices and a positive FX impact. On a geographic basis, Revenue in Canada rose $19.1 million or 6.8% year-over-year, while U.S. revenue continued to grow at a strong rate, increasing $20.9 million or 8.8%. On Slide 15, we provide details of our year-over-year profitability. The adjusted EBITDA increased by $20 million to $85.7 million, resulting in a margin of 15.3% compared to 12.6% for the same period last year. The year-over-year increase was driven by higher sales volumes and selling prices, lower pulp prices and reduced freight costs. These items were partially offset by higher manufacturing overhead costs, elevated warehousing costs and increased SG&A expenses. Let's turn to Slide 16, where we compare Q3 revenue to Q2. Revenue grew $25 million sequentially or 4.7%, primarily due to higher U.S. sales volume and increased selling prices. Geographically, revenue in Canada improved by $1.7 million or 0.6%, while the U.S. increased by $23.3 million or 9.9%. On Slide 17, the adjusted EBITDA in the third quarter increased sequentially by $13.2 million or 18.2%, driven by higher sales volume, lower pulp prices, increased selling prices and a reduced manufacturing freight and warehousing expenses. These factors were partially offset by higher manufacturing overhead costs and increased marketing expenses. The adjusted EBITDA margin reached 15.3% in the third quarter compared to 13.5% in Q2 2025. Now turning to our balance sheet and financial position on Slide 18. Our cash position improved to $149.1 million at the end of the third quarter from $85.3 million at the end of Q2 2025. The increase was primarily due to higher adjusted EBITDA and a decrease in working capital. Long-term debt stood at $1.083.5 billion, a decrease of $42 million sequentially, reducing net debt by $87.9 million. That brought our leverage ratio to 3.4x compared to 4.0x in Q2 2025, demonstrating our continued commitment to strengthening our balance sheet. To conclude my section, we will review the capital expenditures on Slide 19. Our CapEx expenses for Q3 2025 totaled $16.2 million and we have narrowed our CapEx range to be between $70 million and $80 million for 2025, including some spending related to the new Memphis converting line announced in July. For 2026, our CapEx is expected to be in the range of $70 million to $90 million, which includes some of the strategic growth CapEx. Thank you for joining us this morning, and I'll now turn the call back to Dino.
Dino Bianco: Thank you, Michael. Please refer to Slide 20 for a quick update on our sustainability efforts. I am pleased to report that our Bonterra brand was recently named the most sustainable brand in Canada in 2025 by Kantar BrandZ, a leading marketing data and analytics company. Bonterra, our environmentally focused product family was praised for embedding sustainability across every aspect of its operations from product development and manufacturing to materials packaging and partnerships. We are very proud of this recognition. Now please turn to Slide 21 for my closing comments. We are preparing for the launch of a new state-of-the-art TAD tissue plant in 2028 to better serve our fast-growing U.S. business. We will continue managing our margins amid volatile economic conditions. We are investing in our operations to increase efficiency and support growing capacity. We intend to continue to build our share across our portfolio on a long-term basis. Our Away-From-Home business will increasingly benefit from internally sourced paper and deliver sustainable profit, and we are actively developing our organizational capabilities to strengthen our adaptability and resilience. Finally, let's turn to our outlook for the fourth quarter of 2025. We expect adjusted EBITDA to be in the range of Q3 2025. We will now be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from Hamir Patel with CIBC.
Hamir Patel: Congrats on the strong quarter. Some of the recent project announcements in the industry have had capital costs in the sort of USD 0.5 billion range. Is that a reasonable estimate to think for your project before any incentives?
Dino Bianco: Yes. What I would say, Hamir, is we're working through the final elements. There's always some differences between project scope, but I think you've had -- there's been a couple of announcements. I think using them as a guide is probably a good place to start. We'll finalize the full cost when we announce more details early in the new year.
Hamir Patel: Okay. Great. And I mean, if we took 40% of maybe that $0.5 billion proxy, that would suggest maybe a $200 million equity component. Would you consider issuing additional shares to finance the project and improve the public float?
Dino Bianco: Yes. I'm not going to comment on your math. That was your math, so I'm not going to comment on that. But I would say the -- our position will be that we feel we can support the equity infusion through our current resources. I don't think...
Hamir Patel: Yes. No, I realize you probably wouldn't need to tap it. I just thought to improve the float could be an opportunity. On the market share, it looks like some pretty impressive gains in towels. Do you see any additional runway there to grow market share in Canada?
Dino Bianco: Yes. I think we've always said it's an area where we have the most opportunity. We're #1 share in bath and #1 in facial. I think ultimately, the consumer is going to choose who's the #1 share is. I think we're doing the right things with our business in terms of our quality, our segmentation, our in-store presence, distribution, our communication that we're doing. I think Made in Canada positioning is a strong one, and we continue to support that, given I think consumers are very anxious to buy Canadian made products. So I think all -- that whole bundle, and it's a long-term play, as I say, we're not here to just rent share for a short period of time, we want to build it long term foundationally and make sure we're offering the right product at the right value for our consumers. So yes, I do see a good runway in the towel category.
Operator: Your next question comes from Kasia Kopytek with TD Cowen.
Kasia Trzaski Kopytek: It's Kasia. Can you all hear me okay?
Dino Bianco: Yes.
Kasia Trzaski Kopytek: Perfect. Let's start with Sherbrooke. Can you talk about operating rates there and how they might compare to your broader network? And then also how the Sherbrooke sales program is ramping as well?
Dino Bianco: You cut a little bit, Kasia. I heard Sherbrooke operating rates. I'm not going to give you exact numbers, but I would say Sherbrooke definitely one of the strongest operating rates in our network, and we believe based on what we're seeing from external data, definitely top-tier performer in North American tissue. So very pleased, and that's resulting in increased output capacity. And we believe -- we know that there's a strong profit being generated from that site.
Kasia Trzaski Kopytek: Got you. And then I also just asked on the sales program? Sorry about cutting out.
Dino Bianco: I'm sorry, the sales program? Can you repeat Kasia, sorry, you're...
Kasia Trzaski Kopytek: Yes. Sorry, is this better?
Dino Bianco: Go ahead, try one more time. Just speaks softly, maybe we can hear better.
Kasia Trzaski Kopytek: Okay. Sorry about that. Is this better?
Dino Bianco: Yes.
Kasia Trzaski Kopytek: Perfect. Yes, just wondering about how the actual sales program for the output from Sherbrooke is going as well?
Dino Bianco: Yes, very good. I mean we are selling everything we make. I mean, so the more that site makes, the more we sell, I think the market and our business is growing very well. You can see the numbers, obviously, and Sherbrooke been a big part of supplying that. It does supply Canada and the U.S. So it's -- and it does supply multiple categories. So very pleased with the results and very pleased with the work the team is doing there to continue to drive great output.
Kasia Trzaski Kopytek: And then on -- just on the results this quarter, are you able to parse between how much the higher selling prices quarter-over-quarter were due to mix versus market price increase initiatives?
Dino Bianco: Well, maybe Michael will give you some color. But the market price, we took pricing last year. And so when you're comparing quarter-over-quarter, the pricing last year took effect in Q4. So we're lapping Q3 last year, which is prepricing. So that's why we talk about the benefit of the price increase. We've not taken any additional pricing since that time. I don't know if we'll give specific details, maybe I'll look over to Mike to see if there's anything else he wants to add to that.
Michael Keays: Yes. Thanks, Dino. For sure, the year-over-year comparison, which show a larger portion of that selling pricing coming from the pure change or announcement on the selling price itself that we did in the fall last year. In terms of the sequential change, that would more driven by mix and a bit less by the actual selling price change.
Dino Bianco: We're selling a lot more premium product. Obviously, I just talked about Sherbrooke and that is a TAD facility. And I talked about our brands really pushing the premium side of the business. So you're seeing an improved mix through just the improved premium segment as part of our portfolio.
Kasia Trzaski Kopytek: Right. Yes, that all makes sense. So I just wanted to confirm, relative to Q2 that the actual market price hikes would have been -- had a minimal impact. So it sounds like that's the case. And just on AFH, strong results quarter, obviously. And the margin is in line with what you had previously guided to as being attainable for that business, once benefits of the paper insourcing come through, which they are now. Any thought to revising the margin range higher for the future in terms of what you think that business can do?
Dino Bianco: Well, I've always said, I think, low teens, and we've now crossed the 10% threshold. I think it does have the opportunity. I want to make sure I see sustained performance. Obviously, there's a bit of a watch out in the short term around what's going on in the Away-From-Home market in general in the economy and consumers. So we're watching that. We think we're well positioned. We have a very diversified portfolio across Canada and the United States. So I think I'm not going to make an announcement that's going to give guidance of a different margin structure. I'm very pleased with where we are. I've said we should be low teens. And right now, we're there. So our goal right now is to keep it, keep it delivering it across not only sales but our cost structure and our margins.
Kasia Trzaski Kopytek: Makes sense. And final one for me on Memphis. There's been improvements there. Can you put any numbers around how meaningful that might be for 2026 results?
Dino Bianco: No. We won't give that kind of guidance. But I certainly think the momentum that we're going to build in 2025, and we will give Q1 guidance later in February. But I think the momentum we're building is going to carry forward. I mean we're not a onetime deliver of profit. As you can see, the foundations that we're building with respect to our business, our portfolio, our cost structure are building our share. I think all are working very well, and those are sustainable in my mind, and we should continue to drive momentum. Of course, the economy and cost inputs are always a wildcard, but we feel very good about the momentum we are driving. And we should continue that into 2026, and we will provide that guidance at the right time. Obviously, for 2025 in the fourth quarter, we feel very confident because we could see that one near in and feel good about our guidance being in the range of Q3.
Operator: [Operator Instructions] Your next question comes from Zach Evershed with National Bank.
Zachary Evershed: Congrats on the quarter. So a few here on the next TAD project. So feel free to pass if you guys don't want to provide that level of detail yet. But we do note that construction costs have spiked over the last few years. Do you think it's likely that the return economics on the project will be lower than your first 2?
Dino Bianco: That is not what our data is showing us right now. So obviously, it's still early, but I would say that we are in the range of what we believe we need to be. And even with the escalated costs, we feel we have a model here and the market situation with our growth in the premium segment, we believe we'll have a good operating plant, latest equipment and technology, likely a simplified portfolio, an improved freight structure, having said the Western United States, and we believe that will deliver similar margins.
Zachary Evershed: Good color. And then thinking about your financing split to debt, what are the guardrails that you're looking at to limit your use of debt, either leverage or interest coverage ratios?
Dino Bianco: Yes. We're working through that. I don't think we're going to give you a specific number. But I guess the 4 things that we're looking at, first of all, we have a proven track record of successfully completing large-scale projects. Notably, we just talked about Sherbrooke and then the Sherbrooke Expansion Project. So 2 large projects and both have exceeded the ramp-up curve. I think the other piece is we believe in a strong position right now to pursue this project. We have a cash balance of almost $150 million, and we have strong cash flow generation, a lot of it driven by those new projects that I just talked about. We also have recently completed an update with DBRS, and we've given them the details of the project and including the financing parameters and expected financial profile. And lastly, of course, we've been working on this project for a long time, and we are now ready and I think maintaining the sound financial profile and strong market access remains priorities for the company and for the Board, including any volatility during the period, making sure that we can manage that. So I think we're in a really good position I don't think we're going to give you any specific metrics as it relates to ratios at this point. So I think when we finalize the project scope early in the new year, but I don't know, Michael, if there's any further guidance that we want to provide.
Michael Keays: No. I mean you covered that we have a current strong financial position. That position and cash available on hand today is in a much better position than the period of 2022 and 2023 that we went through a few years ago. The performance of our last 8 quarters over '24 and '25 has demonstrated that we have that strong cash flow generation. So we feel we're in a very, very strong position to be able to proceed with this project at this point in time.
Zachary Evershed: I appreciate that. And then just one last one. As Hamir mentioned, there are a number of new machine announcements that will be coming online over the next few years after almost a drought in major additions. Can you speak to your thinking around your competitors' geographic positioning and time lines and how that may affect your ramp-up in 2028?
Dino Bianco: Well, obviously, we've made the announcement knowing those announcements. We still long-term projections continue to show a need for ultra premium in the North American market. So despite those announcements, the market continues to grow and will continue to grow. So we have made this announcement knowing that the market will require this capacity. Obviously, the Western U.S. is going to be a strong position for us, given what we believe a lot of our customers are growing and opening new outlets in west of the Mississippi. So I think we'll be very well positioned from a service point of view for our customers. The other benefit being that the addition of this new facility, it will create benefit and synergy to Memphis and Sherbrooke, so our new network now, kind of this triangle between Memphis Sherbrooke and the new facility, this TAD triangle if you will, will help us really get more efficient and produce the right product in the right place for the customers. So all that, I think, just supports the need and the location that we chose.
Operator: There are no further questions at this time. I will now turn the call over to Dino Bianco for closing remarks.
Dino Bianco: Great. Thank you all for joining us on the call today. We look forward to speaking with you again in the release of our fourth quarter results for 2025. Thank you, and have an amazing day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.